Operator: Ladies and gentlemen, thank you for standing by. And welcome to The Cheesecake Factory Fourth Quarter Fiscal 2020 Earnings Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Stacy Feit, Vice President of Investor Relations. Thank you. Please go ahead.
Stacy Feit: Thanks, Rob. Good afternoon and welcome to our fourth quarter fiscal 2020 earnings calls. On the call today are David Overton, our Chairman and Chief Executive Officer; David Gordon, our President; and Matt Clark, our Executive Vice President and Chief Financial Officer. Before we begin, let me quickly remind you that during this call, items will be discussed that are not based on historical facts and are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could be materially different from those stated or implied in forward-looking statements as a result of the factors detailed in today's press release, which is available on our website at investors.thecheesecakefactory.com and in our filings with the Securities and Exchange Commission. All forward-looking statements made on this call speak only as of today's date, and the company undertakes no duty to update any forward-looking statements. In addition, throughout this conference call, we will be presenting results on an adjusted basis, which reflects the potential impact of the conversion of the company's convertible preferred stock into common stock. An explanation of our use of non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures appear in our press release on our website, as previously described. David Overton will begin today's call with some opening remarks, and David Gordon will provide an operational update. Matt will then briefly review our third quarter results and provide a current financial update. With that, I'll turn the call over to David Overton.
David Overton: Thank you, Stacy. We had a good start to the fourth quarter with comparable sales – excuse me, at The Cheesecake Factory restaurants, down just high-single-digits in October, despite mandated capacity restrictions. At that time, we had approximately 90% of our locations operating with reopened dining rooms. Through the balance of the quarter sales softened, given the impact of additional dining room closures and capacity restrictions in response to rising COVID-19 cases in a number of our markets. For context, we exited the fourth quarter with 75 Cheesecake Factory restaurants transition to an off-premise only operating model and just over 60% of the locations with indoor dining rooms open with capacity restrictions. Our restaurant teams demonstrated exceptional resilience. Again, in response to these abrupt shifts, operational execution was silent during the fourth quarter, despite the challenges faced with year-over-year increases in both The Cheesecake Factory labor productivity and food efficiency. In addition, our strong position in the off-premise channel helped support the business during this period with sales at The Cheesecake Factory restaurants that were operating an off-premise only model, far exceeding prior peak off-premise sales volumes seen earlier in the COVID-19 pandemic. And our restaurants with reopened dining rooms continued to demonstrate strong performance in the off-premise channel as well during the fourth quarter. Notably, we had 24 Cheesecake Factory locations with positive, comparable sales during the fourth quarter despite capacity restrictions. On the development front, since our last call, we opened the Cheesecake Factory in Clearwater, Florida, and late December drew tremendous demand, this location to nearly $200,000 in sales in its first week even with restrictions. Other FRC incubation brand, Blanco opened another location in Arizona, further scaling the concept in this market. And the sixth Cheesecake Factory location in Mexico opened under licensing agreement during the fourth quarter. With a solid pipeline of sites, we believe we are on track to open as many as 12 to 15 new restaurants across our concepts this year. And internationally, we expect as many as three Cheesecake Factory locations to open under licensing agreements. While we are not out of the woods yet, with respect to COVID-19, we believe that with vaccination on the horizon, our concepts are well positioned for recovery as dining restrictions ease. And looking further ahead, we believe our collection of strong concepts coupled with our financial position will enable us to further accelerate growth as we emerge from the pandemic. With that, I'll now turn the call over to David Gordon.
David Gordon: Thank you, David. During the fourth quarter, we drove year-over-year increases in both manager and hourly staff retention, which we believe go hand in hand with delivering great guest experiences, ultimately sales performance. Time and time again, during the pandemic, I've been humbled at how our teams have supported each other for guests and communities that remain dedicated to fulfilling our mission of absolute guest satisfaction. This is a cultural touchstone at The Cheesecake Factory, that I believe, continues to differentiate us in the restaurant industry. In fact, we saw both sequential and year-over-year increases in our overall dine in and off-premise guest satisfaction metrics during the fourth quarter. This is an achievement we are particularly proud of, given the challenges of the COVID operating environment. With respect to in-person dining, our top priority is to provide a safe, comfortable experience for our guests and our staff members. We continue to receive positive guest feedback on our safety efforts, as well as the other core attributes that contribute to The Cheesecake Factory experience. We are continually evolving our practices to remain at the forefront of sanitation and safety. And to that end, we are working to install an additional air filtration system and all Cheesecake Factory restaurants, by the end of the month. While we believe we have always had best-in-class heating, ventilation and air-cooling systems, this new system uses bipolar ionization to actively clean the air, helping to kill bacteria and viruses while reducing allergens and other airborne particles. Third-party testing shows that it can effectively reduce pathogens, including the coronavirus strain that causes COVID-19. We have updated all of our guests facing health and safety materials in our restaurants to inform guests about this incremental safety measure. We are also encouraging all of our staff to get vaccinated when the vaccine is available to them, providing hourly staff with paid time off for each vaccine appointment. For those guests who want or need the convenience of an off-premise occasion, our offering continues to meet their needs. During the fourth quarter, we continue to see significant pent-up demand in our restaurants with the reopen dining rooms and remarkable sales volumes at our off-premise only locations. In fact, during the last week of December, we had a handful of Cheesecake Factory locations with capacity constrained indoor dining, that did over $300,000 in sales and a number of off-premise only locations that generated $170,000 in sales. Weekly sales at our off-premise only restaurants equated to nearly $5 million on average, per unit, on an annualized basis during the fourth quarter, as our guests wanted to enjoy The Cheesecake Factory experience, regardless of the restrictions, the pandemic presented. In addition, locations with reopened dining rooms maintained approximately 90% of their elevated COVID off-premise sales. This equated to approximately $3.6 million on average, per unit on an annualized basis, based on average, weekly off-premise sales during the fourth quarter. We believe the magnitude of these sales volumes underscores the tremendous brand affinity for The Cheesecake Factory and that we are well positioned to recapture pre-COVID sales levels as dining restrictions ease. In addition, we continue to believe that a meaningful increase in off-premise sales could be a longer-term sales driver for The Cheesecake Factory as we emerge from the pandemic. The breadth of our menu, our value proposition and our food quality, coupled with creative marketing campaigns continue to differentiate us in the off-premise channel, driving both new guests to the brand, as well as increased order frequency. We have continued to produce effective on-brand marketing campaigns to raise awareness in the off-premise channel and drive sales. Our second run of our $15 lunch special, which included a slice of our legendary cheesecake, again saw great guest response and drove higher, incremental sales attachment compared to the September campaign. This campaign increased awareness of our lunch offering, and again, drove sales to the late afternoon shoulder period. Our January, Ditch Your New Year’s Resolution campaign, was extremely successful as well, driving our highest week of delivery of sales ever, and our highest week of sales through our online ordering platform since Mother's Day. And we've continued our marketing momentum into February with our random acts of kindness gift card and delivery offer that are running this week. Our continued strength in the off-premise channel, coupled with some easing of dining restrictions, have supported an improvement in our sales trends with fiscal 2021 first quarter to-date through February 16, comparable sales at The Cheesecake Factory restaurants in aggregate across operating models, down 18%. Note, these quarter-to-date sales results reflect a nearly 2% impact from lapping a full capacity holidays last year, including this past Valentine's Day and President's Day weekend, as well as the restaurant closures associated with the winter storms this week. For The Cheesecake Factory restaurants with reopened indoor dining rooms, fiscal 2021 first quarter-to-date through February 16 comparable sales are down approximately 9%, which equates to approximately $10 million on average per unit on an annualized basis based on average weekly sales quarter-to-date. Notably, this sales volume level exceeds what we saw in October. This is supported by approximately 40% off-premise sales mix, which on a dollar basis exceeds prior peak off-premise sales volumes seen earlier in the COVID-19 pandemic. Currently 166 Cheesecake Factory locations have indoor dining rooms open. On average, these locations are operating at 50% capacity. The Cheesecake Factory restaurants operating with patios only have done fiscal 2021 first quarter-to-date through February 16 sales volumes of over 90% on average of Cheesecake Factory restaurants offering in-person dining. Weekly off-premise sales for these locations equates to approximately $9.1 million on average per unit on an annualized basis and that's during the middle of winter. We also saw sales levels at Cheesecake Factory restaurants that have been operating an off-premise only model accelerate the fiscal 2021 first quarter weekly off-premise sales equating to nearly $6 million on average per unit on an annualized basis. Currently, 18 North Italia locations have indoor dining rooms opened, and five are opened for outdoor dining. For fiscal 2021 first quarter-to-date through February 16 comp store sales are down approximately 21% supported by nearly 35% off-premise sales mix. Aggregate sales performance in North Italia has been disproportionately impacted by dining restrictions and a number of its higher volume markets, given the concepts smaller restaurant pace. Currently, 46 FRC locations have indoor dining rooms open, four are open for outdoor dining, one is operating off-premise only, and two locations remain closed. In December, FRC successfully launched a new online ordering platform that offers seamless ordering for guests across their full-service brands from a single web location, while Flower Child continues to maintain its separate platform. The performance of North Italia and the FRC concepts during this pandemic has further reinforced our confidence in the strength of these brands and our excitement for their long-term growth potential. 2020 was an incredibly challenging year and COVID-related uncertainty remains in the near future. But we believe with the strength of our brands, best-in-class operators and the breadth of high-quality growth vehicles, our long-term outlook is bright. We owe a debt of gratitude to our staff members across our restaurants and bakeries at the Corporate Support Center in California and the Big Kitchen at FRC for delivering delicious memorable experiences for our guests and solid performance, despite the challenges we have all faced. And with that, I'll now turn the call over to Matt for our financial review.
Matt Clark: Thank you, David. Fourth quarter comparable sales at the Cheesecake Factory restaurants declined 19.5%. As David mentioned, October comp store sales were down just high single digits, but decelerated for down 32% in December, given the additional COVID restrictions in many of our markets and the anticipated impact of capacity restrictions on the busy holiday weeks. Off-premise represented approximately 43% of total Cheesecake Factory restaurant sales during the fourth quarter. Revenue contribution from North Italia and FRC totaled $75 million. North Italia comparable sales declined 18%. Sales per operating week at FRC, including Flower Child were approximately $67,850, and including $20.3 million in external bakery sales, total revenues were $554.6 million during the fourth quarter of fiscal 2020. As we would have expected, most of the year-over-year expense variances in the fourth quarter were due to COVID-related sales deleverage though I would still provide the usual line-item detail. Cost of sales increased 10 basis points, primarily reflecting a shift in sales mix with relatively higher year-over-year third-party bakery sales. Labor increased 310 basis points, primarily attributable to the cost of maintaining our full restaurant management team in the reduced sales environment and higher group medical costs. Other operating expenses increased to 30.2% of sales due primarily to sales deleverage, increased marketing and costs such as additional cleaning and PPE associated with COVID. Our operators managed the business as well as we could have expected during the fourth quarter in light of the abrupt changes in dining restrictions. With Cheesecake Factory restaurants flow through within our expectations at approximately 40% year-over-year, inclusive of COVID-related costs and restaurant level management de-leverage. G&A increased 50 basis points, also reflecting sales de-leverage partially offset by a lower corporate bonus accrual. Pre-opening costs were $2.8 million in the quarter, compared to $6.3 million in the prior year period. One Cheesecake Factory and two FRC locations opened during the fourth quarters versus three Cheesecake Factories, one North Italia, and two Flower Child locations that opened in the prior year period. In the fourth quarter, we recorded a $14.6 million impairment charge, primarily comprised of non-cash charges for two Grand Lux Cafe locations, where the leases are expected to terminate in the next year. We recorded approximately $5.4 million of COVID-related expenses in the fourth quarter for costs such as sick pay, healthcare and meal benefits for furloughed staff members, additional sanitation and personal protective equipment. Approximately two thirds of these costs were in the other operating expense line as I referenced with about the remaining one third in labor. A specific breakdown between line items can be found in the related footnote in our earnings release issued this afternoon. GAAP diluted net loss per share was $0.85, reflecting the potential impact of the conversion of the company's convertible preferred stock into common stock and excluding the COVID-related costs, impairment charge as well as other items, including $0.5 million in acquisition related costs and contingent consideration. Adjusted net loss per share for the fourth quarter of 2020 was $0.32. Now turning to our balance sheet and cash flow. We ended the year with total available liquidity of approximately $250 million, including a cash balance of approximately $154 million and $97 million available on our revolving credit facility. Total debt outstanding was $280 million. The company generated approximately $36 million of cash flow from operating activities during the fourth quarter. CapEx totaled $12.1 million during the fourth quarter for required maintenance at new unit development. And we made a $17.25 million deferred acquisition consideration payment to FRC during the quarter. A $5 million dividend for the fourth quarter of fiscal 2020 was paid in kind to holders of the company's convertible preferred stock. While we will not be providing guidance given that the operating environment continues to be very dynamic. We want to provide some thoughts on our expectations for 2021. At present, we continue to expect commodity inflation of approximately 2%. Based on current governmental roadmaps for minimum wage, we continued to expect wage rate inflation to be more favorable in 2021 versus recent years. For modeling purposes, we're using a normalized tax rate of approximately 10%. While we still expect some deleverage in the near term, given the continued COVID pressures specifically in labor, as we continue to think long-term with respect to maintaining our restaurant management teams, as well as in the other operating expense line. We would expect the de-leverage to ease as sales continue to recover, enabling us to continue to work toward recapturing our pre-COVID margins. With respect to development, we believe we could open as many as 12 to 15 new restaurants this year based on our current pipeline of sites spread across our portfolio of concepts, including as many as two to three Cheesecake Factory restaurants, six North Italias, and four to six FRC restaurants, including one to two Flower Child locations. As a reminder for North Italia, we target an average unit size of 5,000 to 6,500 square feet and average sales per mature location of approximately $7 million or approximately $1,200 per interior square foot. FRC unit sizes range from approximately 3,500 to 15,000 square feet. And the FRC restaurants target sales were approximately $1,000 per interior square foot on average. For modeling purposes, based on the FRC pipeline for 2021, we would expect an average unit size of approximately 5,500 square feet. We would anticipate approximately $100 million to $105 million in CapEx to support this level of unit development, as well as required maintenance on our restaurants. We will continue to refine these assumptions as more clarity on the operating environment emerges. In closing, while COVID-related dining restrictions impacted our sales performance at the end of the year, I am very pleased with how our teams pivoted and protected margins and cash flow. We've had a solid start to 2021 and are very encouraged by our first quarter-to-date sales performance at The Cheesecake Factory restaurants, given the continued capacity restrictions. We believe that our concepts are well positioned for a recovery as vaccination continues, dining restrictions ease, and we head into spring. With the strength of our balance sheet and operations team, we believe we will be able to further accelerate growth to our targeted 7% level and take market share. With that said, we'll take your questions. In order to accommodate as many questions as possible, please limit yourself to one question and then re-queue with any additional questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Sharon Zackfia from William Blair. Your line is open.
Sharon Zackfia: Hey, good afternoon. Thanks for all of the detail. I guess, I have a question of two parts, but they're related. You mentioned that 24 locations, I think it had positive comps in the fourth quarter. I'm just wondering if there's any commonality between those locations other than the fact that I assume, they all had on premises dining. And then a related question is just, the Street’s sit in positive comps for the first quarter. You’ve got a bit of a hole to dig out of that from January just given how restrictions were kind of evolving throughout that month. I mean, how do you feel about your line of sight to regaining positive comps?
Matt Clark: Hey, Sharon. It's Matt. How are you? Thanks for the questions. I think on the first one, you probably nailed it. The commonality is that there was mostly on-premise indoor dining available. But certainly, we've seen some pretty good trends throughout the country where that's available. So, it wasn't like it was predisposed to a certain geography. I think the second question is an important one. And certainly for – I think for our company maybe compared to some others with the exposure to California and the West Coast where the restrictions really weren't lifted even for patio dining to return until the end of January. And so certainly with those sorts of restrictions still in place for a third to half of the quarter, depending on if and when California has any in dining room availability, again, it would be hard to post a positive comp. I think that being said, it feels like things are sort of book-ending the quarter from the beginning of the fourth quarter to now. I would just point to in October that Cheesecake Factory was a negative 8%, and that was with less than 50% available on-premise dining. We're starting to get basically back to that place. There's a lot of noise still with the weather and the holidays. But, just looking at yesterday's comp, we were pretty much in line with that, right if you take out the closures in Texas. And so, it feels like we've gotten full circle and it should continue to improve as the capacity continues to get better. And certainly, we are very encouraged by having the 40% off-premise maintained. And so, you've got to believe that as long as we keep some of that between where we were and where we are now, and the capacity returns that we're going to be in a really good position for sales once that happens. But we can't really predict too much going forward because the capacity is controlled by the government if that makes sense.
Sharon Zackfia: Yes. Thank you.
Operator: Your next question comes from the line of Brian Mullan from Deutsche Bank. Your line is open.
Brian Mullan: Hey, thank you. A question on off-premise. It looks like your average weekly sales in the off-premise business were about flat sequentially, despite another increase sequentially in your dining sales pretty impressive. I know you touched on this a bit in your prepared remarks. But could you just elaborate on maybe why you think that is? Why the retention is better than peers? Is there something particularly unique about the brand or the strategies you're employing in this business. And then maybe any updated thoughts on what you think retention could look like here post COVID once the dining rooms come out all the way back?
David Gordon: Sure. Thanks Brian. This is David Gordon. Cheesecake Factory number one is known for our menu and the breadth of menu items available for our guests along with the value of price points and the range of price points makes it pretty compelling for an off-premise occasion. And as a family, you certainly can order easily one, two or three times a week if you want to do much less a month and have varied options at varied price points. So, I'd say number one, the quality of our product and the menu has always been a differentiator and it continues to be in the off-premise. And of course, the cheesecakes are a big part of that as well. And a portion of the marketing that we've done throughout COVID and certainly in the fourth quarter and moving into the first quarter of this year. I have seen some successful campaigns around the cheesecake and we also see that we have a certain percentage of new guests that are ordering off-premise and/or delivery for the first time from DoorDash and increased take rates over the quarter. So, we think the offering is the number one reason. I would also give credit to our ops team for continuing to do a good job in execution. If you're going to do continued strong sales in off-premise, you can't disappoint guests, you have to get it right the first time. And I think our teams have continued to do an excellent job there in some really, really challenging environments. And so, as we've seen increased guest satisfaction scores for off-premise that also is a reason why our guests would come back and order again. So, we feel that a good portion of what we've seen is going to continue to remain. I think in some of the opening comments that 90% of the off-premise growth we still see that in the restaurants that are at 50% indoor dining capacity. So, there's no reason for us to believe that we wouldn't continue to see that to some extent, at least the majority of it when dining rooms reopened at even greater capacity.
Brian Mullan: Thank you.
Operator: Your next question comes from the line of David Tarantino from Baird. Your line is open.
David Tarantino: Hi, good afternoon. David, I wanted to follow up on that very last question and perhaps get your thoughts on the durability of this off-premise channel. It seems like a lot of the casual dining industry is being elevated off-premise sales and most are saying they think it will stick post the pandemic. So, I guess what's your consumer feedback or data thing related to the behavioral aspect of that? I guess, it seems like it's optimistic to think a lot of these sales will stick when dining room traffic returns. But is it a different occasion or is it replacing something else that's very clear according to your database, I guess, what are your thoughts on the broader macro trend for the industry related to that?
David Gordon: Well, to some extent, people that weren't perhaps exposed to an off-premise dinning occasion before, have been forced to be exposed. And I think some of that behavior is going to stay. I always use my parents always as an example. They never ordered to go food ever before the pandemic. And now they order it all the time and find it convenient and useful. And along with continuing to go out to eat, I think they're going to be more inclined to continue to order to go once things get back to “normal.” When we look at our own restaurants today, the ones that are even at a 75% capacity and maybe on a short wait at times throughout the week. Those restaurants are maintaining that off-premise. So, people are still going to be continued to be pressed for time. They're still going to be looking for convenience. And a lot of the technology that has enabled off-premise to be executed in a much more seamless way for guests. I think is what's changing a lot of that behavior and will continue to be changing that behavior. People will continue to be pressed for time. They're going to have still two people working at a household. And so, some of those behaviors they've learned, I don't see any reason why they won't stick. And I think that those brands that as I said earlier executed well and have a great offering, will be the ones where perhaps an additional occasion along with coming to dine-in and additional occasion at home will continue to be part of the course.
Matt Clark: I think just from a pure data perspective, David, this is Matt. There is also some support for that, right? So, if you look at our ability to specifically target dayparts like one should think it's very impressive that our overall off-premise sales are similar to what our historical on-premise sales are by day part. I mean, we wouldn't have thought that, right. You're thinking in casual dining, it's going to be much more at the dinner hour.  But by doing activities that actually bring awareness to how great a Cheesecake Factory burger is. People realize that the value premise there, it’s cost the same as if you go to a fast casual, right? And so, I think and you've got a lot more choices. We also see that for example, the average delivery guest, their order rate in the quarter is twice what our historical average on-premise guests was coming in for, right. And so, the stickiness there is also clear. I mean, that's – I mean, two times the level is pretty strong. So, I think that we are seeing data points again, I am not saying that we keep all of it. But there's definitely a stickiness to a good percentage of it.
David Tarantino: Yes, that's helpful. One more quick one on this subject. The consumer feedback or guest scores or – in particular, the value scores, is there a difference between your on-premise scores and your off-premise scores? And if so, what's that difference?
Matt Clark: Well, we actually get a lot more feedback in our off-premise channel because of the amount of surveys that we're able to give out. And the response to those surveys is much greater. They're relatively similar. And the value question is relatively similar. There's not great disparity. As I said earlier, we've seen the improvement in the NPS score for off-premise grow over time. We added an NPS survey to our online ordering platform and have slowly seen that number increase over time. So, they're not that different from each other. We just have a much higher volume of actual surveys on the off-premise channel.
David Tarantino: Right. Makes sense. Thank you very much.
Operator: Your next question comes from the line of Jon Tower from Wells Fargo. Your line is open.
Jon Tower: Great. Thank you for taking the questions. Just a few for me. First, Matt, when you talk about the returning to pre-crisis levels of store margins, can you kind of help pinpoint exactly what that's referring to? Are you talking about aggregate or are you talking about Cheesecake Factory specifically? It's hard to tell based upon the acquisition, what the number might be there? And then have a couple of follow-ups.
Matt Clark: Yes, Jon, that's a fair question. I would say it kind of comes back to both interestingly enough. And so, we would kind of look at 2019 and we would target Cheesecake Factory four-wall margins being the equivalent-on-equivalent sales volumes. And roughly North and FRC would be very, very similar in margin structure when the growth rate has kind of moderated because they were in hyper-growth. So, from an aggregate number, it would look very similar also. So, it's kind of the same answer, but for different reasons. And I think if you look at the flow through for the fourth quarter, Cheesecake Factory was approximately 40% at the four-wall margin. The total company was approximately 40%. If you back out things like impairments, and right if you really look sort of just at the pure margin. So that sort of bears out what we're talking about and keep in mind that flow through included the COVID costs and keeping our full management teams. And so, we ought to be able to flex back up better than that, right. Because we would assume that we already have the management teams and some of the COVID expenses go away. So, I think just mathematically, you can get back to equal or better margins – if you get back to the same sales level.
Jon Tower: Great. So just to clarify and I am sure we're on the same page the 15% [ph] or so, that was reported in 2019. Is that the reference point that we should be thinking about?
Matt Clark: Yes.
Jon Tower: Okay. And then on top of that, just in terms of thinking about the marketing, it seems like that's changed quite a bit relative to where you've been pre-crisis. I think pre-crisis level of spend was about 130 basis points of sales marketing was, and I'm just kind of curious, where are you thinking that can go over time? I know your presence on social media has certainly stepped up and its part of the reason why the off-premise business has grown so well during the crisis, but where can that move to over time?
Matt Clark: We don't think it's going to be a significant, like some of our peers, 3% of sales or that I mean, we still look at it on a value-add basis, and we run ROIs to make sure that any of the promotions we're doing or things like that are going to drive incrementality. I don't think that we want to be in that sort of promotional game forever because it isn't how the brand grew. But this environment is appropriate for it. So, we'll have to see, I think if you, again, go back to kind of pre-COVID levels, maybe it goes a little bit up from there, but not meaningfully.
Jon Tower: Okay. And then just lastly for me. In terms of hitting that 7%-unit growth rate, I think 2021, you're targeting roughly about 5% or so year-over-year growth. How should we think about that ramping to 7% over time? Is this going to be 2024, 2025 [ph] type of level, or maybe even sooner than that?
Matt Clark: Well, I mean, I think we're going to look at the operating environment. If the capacity restrictions are essentially lifted by the middle of this year, because the vaccination, whatever, all those drivers are. We're looking at sites right now to get there for 2022. We want to be prepared to get there in 2022. We'll probably wait to pull the trigger a 100% until we see that, but we'll be ready to do it if the environment is appropriate.
Jon Tower: Thank you.
Operator: Your next question comes from the line of John Glass from Morgan Stanley. Your line is open.
John Glass: Thank you very much. Just going – sorry about the – one more question on the off-premise business. But what are the restrictions from a capacity standpoint, right? It's easy to say, well, you could add 30% or 40% of volume just based on your experience, but your high-volume restaurants, maybe what is the upside capacity for your kitchens? Are there things you're doing to relieve that pressure, either technology or cooking equipment? How do you think about how your ability to handle that incremental layer of sales given a full recovery of the dining rooms?
David Overton: Thanks, John. This is David. I think as you know with the breadth of the menu, our kitchens are already very large and able to handle a pretty high capacity. Some of the things that we we're going to continue to put in place, maybe a throttling mechanism to ensure that at the busiest time, on the Saturday night and our busiest restaurants, that we can manage the amount of throughput that's coming in through our online ordering channel, if we needed to. As of now, we're able to handle that capacity. And as I said earlier, the restaurants that are even at 75% of indoor dining and maybe have a few extended patios are able to handle the impact of the majority of the off-premise. So, I don't really think that there's any inhibitor to us getting to what we stated earlier is the majority of those sales staying. I really – the design of the restaurants, our ability to have the bakery set up where they are with two cash registers to allow for ease of ordering and ease for pickup per guest. We haven't had to do much when it comes to changing the design of the restaurants to be able to meet the demand. So – and if we need to, we needed to add any capacity in anyway or move something from one station to another. We've been doing that for over 40 years as we changed the menu on an ongoing basis. And we can continue to evolve in that way too. And our operators are able to handle anything that are thrown at them. So, I wouldn't anticipate that the capacity is going to be a restriction on keeping those sales.
Matt Clark: John, this is Matt. Just to add again to some data to that. If you go back historically kind of pre-recession, and sort of what's happening in casual dining, just from a traffic perspective, we probably could handle 15% more compared to where we were back to then, plus pricing, right? So, if we get to those levels, it'll be a really good problem to have and David and the team will figure it out.
John Glass: Got it. Thank you.
Operator: Your next question comes from the line of Jeff Farmer from Gordon Haskett. Your line is open.
Jeff Farmer: Thank you. Just a quick follow-up to some of the earlier questions on the margin front. Can you provide an update on the relative margins across really all three ways you are selling food, so on-premise, the curbside to-go, and delivery sales? So, margins across those three and any efforts to narrow the gap that would be helpful. 
Matt Clark: Hey, Jeff. It’s Matt. In a normalized world, right, if you think about where we're trying to get to margin wise, they are really very, very close. We’ve done a lot of things overall to support that. But if you think about the specific drivers there’s no difference really from the last time, I think, in that the delivery is probably 1% to 2% dilutive, the online ordering or call in is probably 1% to 2% accretive, and both of those are on-premise. And so net-net, the way it sits today because, roughly 60% to two thirds, depending on the period are the online ordering and call in versus delivery. It's a net slight positive, but it's pretty much a wash. And that's the way we like it. Really, we're thinking about it so that it's agnostic. However, we can drive the businesses, is how we want to do it.
Jeff Farmer: Thank you.
Operator: Our next question comes from the line of John Ivankoe from J.P. Morgan. Your line is open.
John Ivankoe: Hi. First a follow-up and then I guess another question. First, I mean, you did mention, overall breadth of the menu. And I think we would all agree with that as one of the key reasons to why your off-premise business has been so successful. But even with that, you said, is there any change in terms of how the consumer is using the menu or certain items, measuring very, very high in preference that might suggest that you have an opportunity to scale back some of the menu, whether just in terms of the consistency or simplicity costs, or speed? And then I have a follow-up as well.
David Overton: Hi, John. Thanks for the question. It's been an ongoing question for years, even before COVID. So, I think we see the ordering patterns continue. Favorites will always be favorites, but the no veto vote is really, I think, what's continuing to help us grow the sales. There's so many choices, so many options, and I appreciate the desire for simplicity. Certainly, our operators would, they have the desire for simplicity, but it's our differentiator and will continue to be. So, we came out with a Timeless Classic menu at the end of last year and are just about now completing two more weeks of a new menu rollout that's happening currently. And I wouldn't anticipate that we're going to be looking to shrink the size of the menu for any short-term game. We're here for the long run and we'll continue to leverage the menu as a great marketing tool and the ability for guests to be able to get whatever they want.
John Ivankoe: Understood. Thank you. And then secondly, I guess, the original question in terms of the competition that you have in your specific trade areas, what type of a change have you seen, whether you in the malls or lifestyle centers are in a very near in radius to your existing stores, what kind of change have you seen? Certainly, we can see national and state level data at least, somewhat see state level data, but, what type of a change of effective competition do you see is coming out post-COVID, at least on the near medium-term basis?
David Gordon: Well, I think to your point the national numbers obviously are out there. I think when we talk to our operators and the boots on the ground, at least 70% of our locations have a few, I would say, restaurants nearby or near them within a close proximity that have closed and haven't reopened whether or not those spaces are reopened at some point with the previous tenant or more likely will then be re-released here sometime in the next 12 months. I would anticipate that there's still going to be money coming into the market for restaurants to continue to grow post-COVID. But currently, it's probably a few restaurants in each market. When some of those could be a fast-casual to a full-service restaurant, but that always we see probably in the majority of those geographies.
John Ivankoe: Thank you.
Operator: Your next question comes from the line of Jeffrey Bernstein from Barclays. Your line is open.
Jeffrey Bernstein: Great. Thank you very much. One follow-up and then a question. Just following-up on the margin commentary, I appreciate your ultimate objective to get back to former levels. But maybe if you can give any kind of directional thoughts as we think about 2021, whether it's some sort of sensitivity or directional guidance? And I guess we're already halfway through the first quarter, any kind of color when you're running comps down the 9% you mentioned or anything along those lines, any sensitivity you can share as we look through 2021? And then I had one follow-up.
Matt Clark: Hey Jeff, it’s Matt. I think I would use for, I think, modeling purposes, the year-over-year flow through on the sales that we saw in the fourth quarter. I would use the equivalent metric on the upside. I think we're all looking to try to figure out what the sales environment is. But once you come up with your best estimate, there I would use that flow through metric for each of the subsequent quarters. And I think you could go back to like a 2019 version of that to get better comparability probably.
Jeffrey Bernstein: Okay. And then, my question is just around the labor outlook. I think you reiterate that you expect inflation to be perhaps a little bit less onerous than you had seen the past few years, which I know had been in the mid-single digit range. Just wondering if you could talk a little bit about maybe the opposing forces, but obviously you have national minimum wage going up, but at the same time you have unemployment higher, which would imply perhaps maybe a little bit more available labor. So just wondering your outlook on the labor cost and availability, you are seeing whether you have the ability to offset some of those pressures with cost savings, or pricing, or any kind of color you can provide in terms of how you think about it from a minimum wage perspective, especially as you have such great color in California, where you're already dealing with these elevated wages? Thanks.
Matt Clark: Sure. Just thinking about the math for a minute and as we look at, well you do have some minimum wage going up and I don't remember the number of states, but it's usually between 20 and 30 states at this point in time. The levels that they are increasing off of the current base is just a smaller percentage, right. So, California is taking a dollar, at this point is like 6% and two years ago taking a dollar was 8% until just mathematically those increases as a percentage keep getting less. And the more of them are being tied to more of a cost-of-living adjustment, which has been relatively low too. Right. So, I think that that's helpful. So mathematically that piece of it is weighted down somewhere in the 1% to 1.5% less than it was previously. And we have been running this for context, 5.5%, sometimes 6%, sometimes 5%, but somewhere in that ballpark. I think that availability is a good question. I think partly it's going to depend upon people coming back to the workforce. I mean, unemployment rate is relatively high, which had a lot of people that have exited too. So, I think it's key to be an employer of choice and to do things for your staff. I mean, sort of like what David Gordon was talking about in terms of putting in new air filtration systems, things like that, where we pay for staff benefits when they are on-premise only. I think those are important because wages are one piece, but making sure you are fully staffed with a great operations team is probably, equally important. And that's not going to get necessarily easier even if it appears sort of from a topline that unemployment is higher, we think it's still going to be a very critical component.
Jeffrey Bernstein: Do you have shared ranges of price points? I know you have different tiering structures, presumably in your highest wage or highest cost state versus lowest, can you give kind of a range of standard products, kind of what your different pricing structure might be?
Matt Clark: We know we haven't to date, certainly it’s not for work out there, but it's public information where we pull probably two dozen of our competitors nationally, and we're just able to get that and see it. But we haven't published it just because it can be a little bit of a moving target every six months and so we don't want to have stale data out there.
Jeffrey Bernstein: Thank you.
Operator: Your next question comes from the line of Gregory Francfort from Bank of America. Your line is open.
Gregory Francfort: Hey thanks for the question. I had just a clarification question. The guidance for the full margin recovery at 90% to a 100% of AUVs, is that still the right way to think about it? And then my question is you guys have operated in California and a big portion of your story is in California than the rest of the industry for a long time. Can you maybe talk about how you think a move in minimum wages to $15 will impact the restaurant industry and your business? And how you will operate through that kind of, I don't think its price elasticity, just your experience in California, what that tells us about how Cheesecake might handle that environment going forward? Thanks.
Matt Clark: Sure Greg, this is Matt. I’ll speak first to the margin question. As we noted, the 90% to 95% also depends on a lot of other things exactly how much the wage rate inflation goes up, what commodity inflation actually ends up being. But I think it's going to be roughly in that ballpark if you just do the reverse math again on our fourth quarter, I think, gives that good illustration. We were at a 40% flow-through on the downside, inclusive of COVID and the extra management sales deleverage. And so, we ought to be able to flex back up better than that. 40% would be our target, but we would not have those other items. So, I think that somewhere in that range is still appropriate. And we'll just have to see where the other big drivers come in this year to know kind of where exactly that would be. I think on the second part on, the minimum wage piece in California, it certainly changes the competitive environment. We have seen that most competitors, I mean, labor input is just a cost input. And you can try to put some technology around it to improve efficiency and such. But at the end of the day, most competition prices for it. And I think that’s the necessity to maintain margin structures that are, competitive and attractive for continued investment. That being said, I think, it also does drive some competition out. And ultimately the stronger survive and take market share because you see those that can't handle the increased pricing, or the increased labor costs, some of those cities like San Francisco or Seattle probably are good examples of how that's actually happened. And people have decided not to compete there. And you end up being able to take the pricing because there is lost competition. I think is how it ends up.
David Gordon: And I would just add on to that. It goes back to also the breadth of menu allows us to have a very wide range of price points. So even as we're taking more price, maybe in California, or in the State of Washington, or the City of San Francisco, you can still get great value across the menu, whether you want to spend $31, or you still want to spend $12.95 or $13.95 and get a hamburger, or a sandwich or salad. So, the breadth of the menu gives us competitive advantage from a pricing perspective as well.
Gregory Francfort: Thank you.
Operator: Your next question comes from the line of Brian Bittner from Oppenheimer & Company. Your line is open.
Brian Bittner: Thanks. Good afternoon guys. Again, just question on the margins. In the reopen stores that are trending down 9% year-to-date, I mean, I guess basically you've recaptured 90% plus sales in that control group. And I know it's such a short window, tons of noise with winter and rolling over the holidays. But what are your learnings from the margin recapture so far year-to-date in those stores? Is it just kind of reconfirming everything you've said about the margin recapture path, what you've seen in those stores and is it just kind of reconfirming set up of flow through path as well?
Matt Clark: Hey Brian, this is Matt. I would say, yes, I liked the way you said that. I think it reconfirms and supports the assertations that we're making. The operators in the beginning of the pandemic on our teams came up with the way they were going to run each of the different business models. And it is predicated on that flow through perspective. And they have nailed it every time. I mean, I think, we have pretty good measurement and controls, but the sales environment keeps changing because they change the capacity restrictions, et cetera. But nothing really has changed about our business model, or those levers that would tell us anything different.
Brian Bittner: Okay. Thank you.
Operator: Your next question comes from the line of Jared Garber from Goldman Sachs. Your line is open.
Jared Garber: Hi, thanks very much. Wanted to quickly clarify on the new air filtration systems that you guys said should be completed by the end of the month. Is that something that can help accelerate the reopening of dining rooms as you understand the laws that are – or regulations that are being put out by the different states? Or is that something that's just a longer-term sort of thought process around, hopefully protecting your employees and guests going forward?
David Overton: Thanks Jared. This is David. B, so certainly it's number one to protect our desk now and going forward, and our staff now and going forward. There haven't been many jurisdictions that have any type of restrictions around air quality. There could be moving forward. I think in the City of Philadelphia, actually, they've just come out with some compliance regulation. So, this may help us. There is more compliance regulation around reopening dining rooms to greater capacity, only if you have certain standards of air filtration. But as of now, that's in only one or two places that I know of.
Jared Garber: Thanks. That's helpful. And then one follow-up on the off-premise side of the business. Obviously, the stickiness there has been really impressive. Wondering how you guys are thinking about the physical asset base of these restaurants as dining rooms do reopen, and hopefully we all get back to going to restaurants. How are you thinking about managing sort of the actual operational challenges of having people available for pickup, people waiting for delivery orders, plus what we all know after visiting your restaurants is sometimes some long wait times in the front of the restaurants. I’m just wondering how you are thinking about the actual physical asset as it relates to kind of maintaining some of those higher level off-premise sales when the world normalizes?
Matt Clark: Well, the good news is that the restaurants were already designed originally to be doing, if you go way back, 8%, 9%, 10% off-premise sales. So, as I had mentioned earlier, having a cashier already, or two cashiers working in the bakery where we've always executed our to-go business has really helped us throughout the pandemic. We've also continued to leverage technology where we can. So, things like texting a guest when their order is ready, so they can wait in their car and not even have to come into to the restaurant, allows us to ease some of the pressure you might have on the physical ability, ensuring that DoorDash drivers are stationed in a particular part outside of the restaurant. The malls actually give us some good availability there, for more places for people to wait, they are not necessarily inside the physical building. So, the good news is the size of our restaurants, I think, already allows us to be able to execute the higher premise we have today. And that will only continue. And we'll look for other ways to leverage any technology that we can to make that execution even more seamless for the guests and not impact the in-restaurant dining experience in any negative way.
David Overton: And then Matt in fact, we're already managing to accomplish that as we pointed out, in a few dozen locations that comped up in the fourth quarter, but they are already dealing with that situation, right? So, it won't be anything new. I think the operations teams have done some learnings, have put in best practices and we're executing those right now, so that we're prepared for that volume.
Jared Garber: Great. Thanks for the color.
Operator: Your next question comes from the line of Lauren Silberman from Credit Suisse. Your line is open.
Lauren Silberman: Hey, thanks. So, another one related to off-premise, obviously you guys are doing exceptionally well. I believe off-premise sales volume is $5 million for restaurants operating off-premise only in the quarter. I think you said $6 million annualized quarter-to-date meaningfully higher than AUVs of your peers. So, how do you think about the future unit growth potential, would you explore smaller off-premise focused boxes that could expand the addressable market for the brands? How are you thinking about the opportunity for new formats?
David Overton: I'm not sure that Lauren that makes sense. I mean, part of the beauty of the economic model is to capture on- and off-premise. There is a fixed earning of a Cheesecake Factory because as we've noticed, we have bigger kitchens, we don't really want to limit the offering because that's part of the magic. So, I think, we have to look long and hard to see it actually made sense. I think we have 6,000 square foot location. I think we like that. And that do the blend of business. I think that would be more interesting to us to find, ways to get into more markets maybe because the off-premise has become permanently elevated, but we would still tend to want to have the full offering, the full kitchen, et cetera.
Lauren Silberman: Okay. That's really helpful. And then just a quick one on the labor, would you be willing to have any color on your staffing levels in terms of what portion of hourly employees are tipped versus non-tipped, as we think about potential labor form?
David Overton: Yes, we would be – Stacy do you have that?
Stacy Feit: It is about 30% roughly.
Lauren Silberman: Okay, thank you.
Operator: Your next question comes from the line of Brian Vaccaro from Raymond James. Your line is open.
Brian Vaccaro: Hi, thanks. Good evening. Just two quick from me. I think you said off-premise was 43% of sales in the quarter, what was the delivery mix embedded within that?
David Overton: It’s about 40% of that 43% and then 30% online ordering and 30% phone or walk-in.
Brian Vaccaro: All right. Great. And then Matt can you ballpark, where you'd see G&A settling out in a post-COVID world? There’s a lot of moving pieces layered in the acquisition, normal bonus, et cetera. But could you help level-set that for us?
Matt Clark: Okay, I will use your word Brian as to ballpark that’s a fair word. We believe that with normalized volumes, we can be slightly below 6.5% which would be – our objective is to be improving by tenth a year. And I think we would be in that six four-ish, six three-ish range, it would normalize volumes. So that’s kind of our objective if you think about that for the back half of the year.
Brian Vaccaro: All right, I’ll pass it along. Thank you.
Operator: And there are no further questions at this time. Ladies and gentlemen this does conclude today’s conference call. Thank you for participating. You may now disconnect.